Operator: Good day ladies and gentlemen and welcome to the Blackstone Mortgage Trust’s Second Quarter 2017 Conference Call. My name is Tracy and I will be your operator for today. At this time, all participants are in listen-only mode and later we will conduct a Q&A session. I would now like to turn the conference over to your host for today Mr. Weston Tucker, Head of Investor Relations. Please proceed.
Weston Tucker: Great, thanks Tracy and good morning and welcome to Blackstone Mortgage Trust’s second quarter conference call. I am joined today by Mike Nash, Executive Chairman, Steve Plavin, President and CEO; Tony Marone, Chief Financial Officer; and Doug Armer, Head of Capital Markets. Last night we filed our 10-Q and issued a press release with a presentation of our results, which are available on our website. I’d like to remind everyone that today’s call may include forward-looking statements, which are uncertain and outside of the company’s control. Actual results may differ materially. For a discussion of some of the risks that could affect results, please see the Risk Factors sections of our most recent 10-K. We do not undertake any duty to update forward-looking statements. We will also refer to certain non-GAAP measures on this call and for reconciliations, you should refer to the press release and our 10-Q, both of which are posted on our website and have been filed with the SEC. This audio cast is copyrighted material of Blackstone Mortgage Trust and may not be duplicated without our consent. So, a quick recap of our results before I turn things over to Steve. We reported GAAP net income per share of $0.53 and core earnings per share of $0.60. Earlier this month we paid a dividend of $0.62 with respect to the second quarter and based on today's stock price, the dividend reflects an attractive yield of 8%. If you have any questions following today's call, please let me know. And with that, I'll turn the things over to Steve.
Steve Plavin: Thanks, Weston and good morning, everyone. With our second quarter performance BXMT continued to demonstrate the strength of our loan origination and capital markets capabilities. BXMT originated $1.5 billion of loans in the quarter taking total originations to $2.5 billion for the first half of the year, 44% ahead of same time last year. We have a healthy pipeline with another $875 million of loans closed during the closing process since quarter end. The origination highlight of the quarter was the $889 million financing of a portfolio of office buildings in Rossly, Virginia a Washington DC Metro area submarket. The portfolio has strong sponsorship and the stable base of tenant with upside potential from additional leasing in an improving market. We utilized our ability to execute on larger deals as part of the Blackstone real estate platform as well as our strong relationship with the sponsors to successfully compete with this loan. This origination was also driven by our capital market’s execution. Majority of the properties were combined in a cross collateralized portfolio loan. The large pool loan enable us to capitalize the strong demand for floating rate single borrower CMBS. We co-sponsored with Goldman Sachs a $500 million new CMBS issuance our first time access in this market for the balance sheet financing of a BXMT loan origination. The results of the CMBS transaction for BXMT was an efficiently priced term match non-recourse financing of the Rosslyn portfolio loan. In addition a two building Rosslyn portfolio with a long-term major lease and very substantial future capital requirements was separated into an individual $136 million loan that we plan to syndicate, the most sufficient senior execution for that loan. We also originated three multifamily acquisition loans totaling $279 million during the quarter, two are New York City deals and the third is in Southern California. We continue to like class B multifamily in the major coastal markets and are excited about these new loans. We also closed in a $189 million refinancing of a 1.3 million square foot Chicago office building for one of our top clients. The low basis loan provides the sponsor with additional capital to complete leasing of the property. Our originations during the quarter combined with $146 million of advances under preexisting commitments led to $811 million of loan fundings net of repayments, our best net deployment quarter since the GE transaction. By comparison the first quarter even with this $1 billion of originations had slightly net negative fundings because of repayments and construction loan originations not significantly funded in closing. The full impact of this course positive fundings will be experienced in Q3. Because of our strong origination pace and attractive conditions in the convertible debt market, we raised $288 million of five year unsecured convertible notes during the quarter. The notes have a 4.375% coupon with a conversion price of 1.35 times book value per share. Although the issuance negatively impacted our Q2 earnings the increased leverage will ultimately enhance our ability to compete in a market where we’ve seen loan spreads compress for the high quality loans that we pursue. We do not compromise credit quality by reaching free yield so improvement in our cost of capital from the convert is especially beneficial in the current environment. As for new lending opportunities we are seeing increased transaction activity in the market and a pick-up in demand for floating rate acquisition loans from our clients. Refinancing and construction loan volumes also continue to be robust. The market remains highly competitive, but the increased demand is very positive. We continue to feel great about the credit quality of our portfolio our loans are 100% performing with an average LTV of 61%. Our focus on major markets and top sponsors is a strategy that we believe protects our shareholders. And as a reminder our portfolio is now 92% floating so we gained $0.23 of net interest income from a 1% increase in LIBOR. During the quarter three private equity platforms took their commercial mortgage lending vehicles public. These are not new players all were lenders for a few years prior to their IPOs. We expect that their expansion of the public commercial mortgage REIT sector will be beneficial and lead to additional interest in overall investment. With the Blackstone backing of BXMT and our strong team track record and high quality loan portfolio, I am confident that we will outperform. And with that I'll turn it over to Tony. 
Tony Marone: Thank you, Steve and good morning, everyone. This quarter we saw significant activity on both the left and right hand side of the balance sheet with strong originations volumes supported by a dynamic financing strategy. As Steve mentioned, our 2Q originations totaled $1.5 billion bringing year-to-date originations to $2.5 billion, up 44% from the first half of 2016. These loans are all floating rate senior loans with an average origination LTV of 61% and are focused on large projects in major markets with quality sponsors consistent with our overall investment strategy. Our total loan portfolio of $10.6 billion, the largest since our 2Q, 2015 acquisition of the GE portfolio remained strong with 100% performance, a stable risk rating and LTV profile, and 92% of our loans index to floating rates. This continued focus on net floating rate exposure positions us to realize significant benefits in the future as rates increase. One note on construction loans in our portfolio. As we've mentioned on prior calls, loans with future funding commitments and construction loans in particular contribute to our earnings in the periods following their originations. These loans are funded overtime as our borrowers complete their development or transition plans and request additional capital from us, effectively acting as organic portfolio growth overtime. In 2Q for example, we funded $146 million under previously originated loans including $72 million under construction loans, roughly the equivalent of one additional new loan origination during the quarter. On the right hand side of the balance sheet, we had an active quarter on the capital markets front issuing $288 million of convertible notes and closing our first balance sheet securitization financing. The convertible notes have a five year term and initial conversion price of $35.67 with a coupon of 4.375% down from the 5.25% coupon of our 2013 convertible notes issuance. As with our existing convert, we view this as accretive balance sheet capital that can further enhance our regular way loan origination business. Our Rosslyn portfolio securitization generated incremental $475 million of stable term match financing for one of our newly originated loans at a coupon of only LIBOR plus 1.86%. The accounting for this transaction is all consolidated on our balance sheet, reflecting our origination of the total loan and a $475 million liability for the non-recourse notes sold into the market. Notwithstanding this gross presentation, the net impact on our stockholders' equity and net income reflect our economics as the subordinate investor in the securitization. In addition to these two transactions, we continue to actively manage our mainline credit facilities extending $1.5 billion of maturities during 2Q and closing the initial $450 million of credit facilities to finance loan originations in our new joint venture with Walker & Dunlop in July. We closed the quarter with a debt-to-equity ratio of only 2.5 times up slightly from 2.4 times as of 3/31 following our convertible notes issuance during the quarter. Available borrowings under our revolving credit facilities comprised the majority of our $530 million of liquidity at quarter end, which amount is available to us to capitalized future investment activity. Looking at second quarter operating results, we reported GAAP net income of $0.53 per share and generated core earnings of $0.60 both down $0.01 from the first quarter. This decline was due impart to the natural earnings drag as we deploy the capital raised in our May 5th convertible notes offering as well as other quarterly timing and operational differences. We have maintained our 2Q dividend at $0.62 per share, reflecting our estimation of the consistent earnings power of our platform over the medium term as we continue to deploy capital under new and existing loans. Our book value of $26.38 is up $0.10 per share driven by appreciation in the pound, sterling and euro during the quarter. As we've mentioned on previous calls, our book value is not generally subject to fluctuation overtime as our loan portfolio is held for long-term investment and we do not own any mark-to-market securities or other volatile assets. In closing, we are pleased to conclude another strong quarter of originating senior floating rate loans and our position in the current credit and rate environments. We are happy to add our first balance sheet securitization to our arsenal financing strategies and look forward to the continued growth of our lending platform. Thank you for your support. And with that I will ask the operator to open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jessica Ribner with FBR. Please proceed.
Jessica Ribner: Good morning thanks for taking my questions. Steve you mentioned that the full impact of this quarter’s funding will be felt in the third quarter. Can you put some numbers around that in terms of how additive it could be to EPS?
Doug Armer: Hey Jessica it’s Doug why don’t I take that one. The $800 million or so of net fundings were basically originated in the middle of the second quarter. And so you can run the numbers you’ve got the average spreads you can run the numbers on what that earnings impact would be if you assume those outstandings for a full quarter as oppose to essentially half a quarter. That’s roughly sort of what we expect the impact to be all else equal. There are couple of other dynamics obviously LIBOR is going to be a little bit higher in the third quarter than it was in the second quarter and we think deployment will increase during the third quarter as well. So I think the wind is at our backs in terms of earnings I think with regard to specific numbers what we point to is the $0.62 dividend we think that’s supportable over the long-term. And earnings will be in and around that $0.62 dividend given our current model.
Jessica Ribner: Okay. And then can you also speak to the pipeline for Walker & Dunlop loans for the loans that you’re partnering with Walker & Dunlop on?
Steve Plavin: Sure I think we reported that we did our initial closings under Walker & Dunlop prior to quarter end. They got off to a great start in the program we had $133 million worth of deals that closed right away. Yes the program is in its evolutionary phase we’re working great with Walker & Dunlop and we’re seeing a lot of deal flow we have a very active pipeline, it will take a while for the pipeline to build because the marketing of the product really begin at earnest when the deal was closed and our financing lines were put into place. But we see a lot of opportunity, we think they are a great partner, we love that multifamily space. And so we’re excited about what we’re going to see going forward.
Jessica Ribner: Okay, thanks that’s it from me.
Weston Tucker: Thanks, Jessica.
Operator: Your next question comes from the line of Doug Harter with Credit Suisse. Please proceed.
Doug Harter : Thanks. Can you talk about your liquidity position as of June 30 following the strong growth in the quarter and the ability to fund the pipeline you talked about with that interesting liquidity?
Doug Armer: Sure Doug hey it’s Doug here. So liquidity at quarter end was $530 million that’s down a little bit from last quarter given the strong net fundings we had during the period. I think it’s adequate for -- if you look at a maximum number to fund approximately $1.9 billion of new originations. And so it’s in line with where we want to be I think having a quarter or two of dry powder in reserve. And that’s after I’d point out raising $289 million of capital with convertible notes. So we feel pretty good about our liquidity position capital market excess overall with regard to growing the balance sheet going forward.
Doug Harter : And just with that $530 million can you remind me of what you think of excess liquidity and how much excess liquidity you kind of want to keep on hand?
Doug Armer: I wouldn’t say that it’s about half of that or $250 million you could consider defensive liquidity I mean $250 million of that you could consider working capital or offensive liquidity. It’s a dynamic picture so we do experience repayments, we didn’t experienced tons of them during the second quarter, but we will during the second half. And so that number -- there are several difference sort of inputs into that number on the go forward. But $250 million I think is probably what you could assume we reserve for purely defensive purposes.
Doug Harter : Thanks. And then thinking about the makeup of your capital structure going forward, how should we think about kind of the mix of converts, common equity any other structures that you might consider to makeup that capital base?
Doug Armer: That’s a great question. One thing I would point out during the second quarter obviously we added some convertible debt to the capital structure. We also added some securitize debt to the capital structure. And so if you look at the leverage on our balance sheet in terms of recourse debt is actually flat, although leverage and deployment was up during the quarter. So that kind of mixing of financing techniques in order to optimize our capital structure is what we’re going to continue to do going forward. It will involve the mix of our credit facilities with limited recourse and it will involve non-recourse, securitize financing, it’s going to involve convertible debt potentially high yield debt and some corporate debt as well obviously we didn’t have a lot outstanding on our revolve at quarter end, but that’s another tool in the tool shed for us. So we are going to continue to target three times recourse leverage and we’re going to continue to optimize the cost of capital, which I think is ultimately the most important factor for us particularly in this market environment.
Doug Harter: Great, thank you. 
Operator: Your next question comes from the line of Steve Delaney with JMP. Please proceed.
Steve Delaney: Good morning. Certainly the CMBS transaction was noteworthy and Doug you had mentioned over the years that that was a market that you were following. I am just curious the loan release the $753 million piece was priced at about 340 basis points was little bit lower than what you normally would do. So the question is how critical in terms of meeting your return hurdles, that financing which I think was all in around LIBOR plus 195. I mean was that the critical piece that financing at that level the critical piece that allowed you to competitively price and win that piece of business?
Steve Plavin: Hey Steve, good question. I think you know, I’d say LIBOR plus 340 today given where we see loan pricing is in the range of where we are quoting the [indiscernible] doing. So I think the profile of the deal its pricing was very consistent with what we do was it really the differentiating fact was just how large it was. And for the fact that it was larger it enabled us to economically access the strength of the floating rate single borrower CMBS market. Something we wouldn’t have been able to access on a smaller loan. The key to getting this efficient financing was loan size and as you know given our profile we are always focused on trying to do things bigger and in top market. So really felt good from a strategic standpoint this loan and sort of all its qualities.
Steve Delaney: Yes, and it kind of you mentioned some new players in the public arena, I mean it seems to me that with your balance sheet and capital base you sort of have the ability if you choose to play in a much bigger ballpark and now that you have had the sort of the success with the initial CMBS your name is out there in that market. Is it possible that we would see other large financings like this in the future? And Steve what would be sort of a maximum -- is there sort of an upper limit that you would commit in terms of a loan size to one transaction?
Steve Plavin: I don’t -- I wouldn’t put it up limit on what we would do, I think that we have the ability to do large size and it creativity to capitalize it. And it is an important differentiator between us and some of the newer platforms, which were smaller and can’t compete on the larger deals that we pursue. So we think this is an important competitive dynamic and something that really does distinguish us from some of the smaller platforms.
Steve Delaney: Okay, thanks. 
Doug Armer: Steve, I just add to that, I think you can expect to see us do more securitized financings in the CMBS or CLO market. As you mentioned we have been following that market for a long time we have had a very successful execution and I think securitization will be the third leg in the stool in terms of our financing strategy on the go forward.
Steve Delaney: Appreciate that Doug. And Tony you mentioned construction loans and funding schedules, your portfolio have got 102 loans $10.6 billion outstanding, how many construction loans are within that loan count and dollars outstanding roughly?
Tony Marone: Steve I have that stat. We have five construction loans, the couple of that are construction loans with the constructions now complete. It's about 7% of our commitments and about 3% of our outstanding loan balance. Again the difference between those two being the unfunded portions of the loans that we intent to fund overtime. We are seeing more opportunities to originate, we think very attractive construction loans. So we have some more in the pipeline that you'll see in the coming quarters.
Steve Delaney: Okay, thank you. And I hate to ask one more, but I want some clarity for model purposes. The Walker & Dunlop JV 85:15 split, should we assume that that's going to be given that you’re 85% that those loans are going to be consolidated into your portfolio and you'll simply show like a minority interest to Walker & Dunlop, is that the plan?
Tony Marone: Yes, that's exactly right. We consolidate or you'll see in the third quarter financials we’ll consolidate the venture. So the loans will be in our loans the financings will be in our financings and then the 15% will come out of the bottom of the balance sheet and the bottom of the income statement. The way we previously representing our CT legacy portfolio with that bottom-line adjustment it will look exactly the same.
Steve Delaney: Okay, great. Well, thank you for the time and the comments.
Weston Tucker: Thanks, Steve.
Operator: [Operator Instructions] Your next question comes from the line of Jade Rahmani with KBW. Please proceed. 
Jade Rahmani : Thanks. Can you comment on loan spreads in the quarter comparing this quarter's originations versus last quarter? How much of the decline in spread was the result of mix since it did more construction loans last quarter?
Steve Plavin: Good question. I think that -- let me answer that more in just sort of the trend that we're seeing in loan spreads and why. And I think your observation is right and that the loan spreads we show in any one quarter will depend upon the composition of those loans. So the construction loans that we do in the more deeply transitional will have higher spreads the more stabilized and maybe the multifamily assets that we do will have lower spreads. And so I think that's what you see when you look at any one quarter. In general, spreads are trending tighter. We have seen a pickup in loan demand, which is a great factor, but spreads are tightening. We have a very competitive cost of capital. So I think we win relative to our competitors in this marketplace. But I think you will see spreads trends are a little bit tighter on the go forward. 
Jade Rahmani : And can you quantify the magnitude of tightness that you've seen. Is it north of 50 basis points?
Steve Plavin: No, I would say -- again it varies. The construction loans really haven't tightened. And the more stabilized product has tightened I would say 25 to 50 basis points this year.
Jade Rahmani : What do you think is driving that?
Steve Plavin: Good question. I think some new competition is driving that. There is some new private equity funds with senior lending strategies some new separate accounts. And until recently, that I talked about this on prior calls. Loan demand was off our fund sponsors which comprised the majority of our client base were less active buying properties. So it's just less demand for acquisition loans. And the market has pushed a little bit more towards refinancing to construction loans. And the refinancing in particular are very competitive. We have seen in the last couple of months in our pipeline reflects that a pickup in demand for acquisition loans a little bit more acquisition activity on the part of the funds. I think a lot of them are behind in their deployment so dating back to the slowdown in the first quarter of last year. So it's nice to see the pickup in demand and the pickup in the volume of our pipeline.
Jade Rahmani : And do you anticipate a pickup in repayments as a result of the increased competition?
Steve Plavin: We work very hard to maintain the loans in our portfolio. Our asset management approach is one where we're very interactive with the borrowers. And we will right size the loans and reshape the loans to make sure that they match the borrowers’ objectives and business plans overtime, which helps to mitigate the repayment. In a more liquid market we will get more repayments than in a market that's a little less liquid than the one that we're in now. But as you saw in the current quarter we got way ahead of the repayments to the tune of about $800 million. I think that is unusually high level, but we feel good about on a longer term basis having our having our originations keep ahead of repayments of our portfolio.
Jade Rahmani : And just touching on the credit performance, can you comment on how borrower business plans are generally coming in? Are there any trends you could point to with respect to either geography or property types that would explain either why their business plans are lagging or coming in, in line or ahead of expectations?
Steve Plavin: I think we’ve been pleased with the performance of business plans in our portfolio we stuck with the markets that we’ve been focused a lot of California, which is a very, very strong market and New York, which is also a stable and in many cases a strong market has really helped us in terms of seeing business plans realized. A lot of the multifamily that we’ve done in class B multifamily it’s a really strong sector. And so from a business plan standpoint we’ve been encouraged. It’s a little bit of a two edge sword if a business plan mature the loans become more likely to be repaid. But again we have a very good and focused effort on maintaining our portfolio. So we’re seeing a healthy progression through the business plans what I would consider to be a normalized level of repayments. So all things considered, I think you want to see repayments in our portfolio, it would be problematic if you weren’t seeing any and it’s the nature of our business loans get repaid, we make new ones. We feel great about the new ones and hopefully that’ll continue to be the cases as we go forward.
Jade Rahmani : Thanks very much for taking the question. 
Weston Tucker: Thanks, Jade.
Operator: Your next question comes from the line of Rick Shane with JP Morgan. Please proceed.
Rick Shane: Thanks guys for taking my questions. Couple of things, when we think about sort of the puts and takes on a year-over-year basis, LIBOR portfolio size is down presumably spends are compressing. Q2 represents an inflection point where the portfolio started to grow again. Should we see this as the inflection point in terms of earnings growth as well?
Doug Armer: Hey Rick its Doug. I think you have a good point. I think Q2 is an inflection point. We did see material portfolio growth as we sort of put the GE repayments more or less behind us last quarter. The portfolio is up 10% and deployment is coming closer in line with what we would consider a steady state. And as you point out LIBOR on the way up those are going to be big drivers of earnings and of earnings growth going forward.
Rick Shane: One question and one request, when we look at the LIBOR sensitivity chart. A year ago it was a little bit nonlinear and that once you hit a certain level of LIBOR, the sensitivity started to increase. If we look at that LIBOR sensitivity chart now, it’s much more linear. Every 25 days this point has a more consistent impact on NII per share. Is that just a function of coming off the floors or is that a function of something on the right side of the balance sheet either in terms of funding or hedges.
Doug Armer: It’s the former. So what floors there were primarily in the GE portfolio were either on loans that are since repaid or no longer in the money with LIBOR at 130 as oppose to close to 100 basis points less than that.
Rick Shane: Got it. Hey and last this more of a request. If I look back for the historical slides, there was I think more disclosure each quarter around spreads on the floating rate portfolio both in terms of the overall portfolio used to show what the LIBOR float was on the floating rate portfolios put spread on the floating rates portfolio specifically and you also would show each quarter what the spread was on originations given controversy or concerns in the space about spread compression. Can you continue to provide that? It would be really helpful. So we can look it on a year-over-year basis.
Doug Armer: Yes, Rick point taken. I mean, I think as spreads have moved around a little bit. One thing we always pointed to is the stability in terms of the ROIs, as we adjusted leverage and our cost of debt. And so we didn’t necessarily want to overemphasize the volatility in spreads particularly as the loan mix changes and construction loans come into the picture, each quarter is pretty chunky. So we want to avoid sort of reading too much into any one quarter. But I think you have got a very valid request and we will certainly take that under consideration and figure out how to that information clearly disclosed going forward. 
Rick Shane: Sure, if it going to get realize the things like the large loan deals that you are doing, come with tighter spreads, but it will just really be helpful to us as we think about our models and sort of able to track the impact of that.
Doug Armer: Understood. 
Rick Shane: Thanks, guys. 
Weston Tucker: Thanks, Rick.
Operator: Our final question comes from the line of George Bahamondes with Deutsche Bank. Please proceed. 
George Bahamondes: Hey guys good morning. I am sorry if I missed this, but you did you disclosed originations done post $630 million in your prepared remarks?
Doug Armer: Yes I referred to $875 million of loans that have either closed or now in closing since quarter end. 
George Bahamondes: Okay, great. 
Doug Armer: With the pipeline activity is good that’s a good number.
George Bahamondes: Right. And I was looking for it; I know you guys usually disclose that on your call I just missed that this time. Appreciate you guys answering that question all my questions have been answered at this point.
Weston Tucker: Alright, thanks George. 
Operator: I would now like to turn the call back over to Weston Tucker for closing remarks.
Weston Tucker: Great. Thanks, everyone for joining us this morning and if you have any follow-up questions, let me know.